Operator: Ladies and gentlemen, thank you for standing by, and welcome to Atlantic Union Bankshares Corporation First Quarter Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised today's conference is being recorded. [Operator Instructions]I would now like to hand the conference over to your speaker for today, Bill Cimino. You may begin.
Bill Cimino: Thank you, Towanda, and good morning, everyone. I hope you all are safe. I have Atlantic Union Bankshares' President and CEO, John Asbury; and Executive Vice President and CFO, Rob Gorman with me today. We also have other members of our executive management team dialed in for the question-and-answer period. Please note that today's earnings release and webcast and the accompanying slide presentation we are going to go through are available to download on our Investor website investors.bankatunion.com.During the call today, we will comment on our financial performance using both GAAP metrics and non-GAAP financial measures. Important information about these non-GAAP financial measures, including reconciliations to comparable GAAP measures is included in our earnings release and in the earning supplement for the first quarter 2020. Before I turn the call over to John, I would like to remind everyone that on today's call, we will make forward-looking statements, which are not statements of historical fact and are subject to risks and uncertainties. There can be no assurance that actual performance will not differ materially from any future results expressed or implied by these forward-looking statements.We undertake no obligation to publicly revise any forward-looking statements. Please refer to the earnings release for the first quarter and our other SEC filings for further discussion of the Company's risk factors and other important information regarding our forward-looking statements, including factors that could cause actual results to differ. All comments made during today's call are subject to that safe harbor statement. At the end of the call, we will take questions from the research analyst community.And now, I'll turn the call over to John Asbury.
John Asbury: Thank you, Bill. Thanks to all for joining us today, and I hope everyone listening is safe and well. We began 2020 with momentum and had an ambitious set of work ahead of us. We continue to believe that our strategic plan is the right one, and that we have a great opportunity before us to create something uniquely valuable for our shareholders and the communities we serve, and remain keenly focused on reaching the full potential of this powerful franchise. But what a difference a pandemic makes? And this COVID-19 unfolded, we quickly adjusted both our near-term and mid-range plans.Since mid-March, we have had 90% of our non-branch personnel working from home in order to distribute our workforce and reduce the risk of COVID-19 contagion that we're able to pivot quickly and effectively as a proof point that we built a resilient organization that can react to unexpected circumstances and innovate. Rob will cover the financial details for the quarter, including a deep dive into CECL. Instead of tracking back to our progress on our strategic priorities as I typically do during these calls, I'll cover our COVID-19 response, its implications in the near term, and its implications for our future as we realign our Company's expense base to the new reality of a much lower for much longer-than-expected interest rate environment.We do believe the current pandemic is transitory, and we'll manage through it, but we must position ourselves for the new reality that comes afterwards. In crisis, it's good to play the fundamental strengths. One of our strengths, I believe, is consistency. We have and will continue to operate under the mantra of soundness, profitability and growth in that order of priority. As some of you know, I began my career at the old Wachovia Bank & Trust in Winston-Salem in 1987 where I was trained as a Commercial Credit Officer. I learned the mantra of soundness, profitability and growth in that order of priority from John Medlin, whom I still consider among the best bank CEOs of all time. Never more than now over the course of my nearly 33-year career, I look back on what I learned from Mr. Medlin, and I believe he was right. A sound bank is our first priority. A prudent credit culture served our company well during the Great Recession, and it will serve us well during the coronavirus pandemic. I'll get into more details about our credit over the course of my remarks.Turning to our pandemic response, we started our first awareness campaign with teammates in late January, and continue to monitor the situation and make preparations through February. As it became clear, the pandemic was imminent. We activated our formal incident response team on March 4th. We restricted travel and in-person meetings on March 6th. Our first customer update went out on March 13th. We did a max test of our virtual private network, which is remote working capacity on March 12th to prepare for our working from home model. On March 16th, we restricted non-essential vendors and teammates from offices and shifted to our work-from-home model. 90% of all non-branch teammates are currently working remotely, including 90% of our call center teammates. On March 19th, we were one of the first Virginia banks to move our branches to a drive through model, with branch lobbies access by appointment only.We limited Saturday branch hours on March 21. On March 23rd, we notified our clients about our customer hardship program and how we can help during this crisis. We started preparing for the SBA Paycheck Protection Program on March 27th upon its being signed into law, and we're in position to accept applications through our online application portal on the day the program began, Friday, April 3rd. We mobilized, and in five days, we developed the application portal and an automated workflow system in preparation for what we correctly expected to be an onslaught of applications, since so many of our small to mid-sized customers appeared to be eligible.Our teammates recognized the importance of this program and worked tirelessly and still are to establish high levels of customer service even through the exceptionally strong initial demand. We've had over 400 teammates or 25% of our workforce working on this full-time since it started. And over 1,000 employees or half our workforce working on it in some capacity. To date, we processed approximately 9,670 applications for $1.8 billion, and the SBA approved 6,500 of them for $1.4 billion in the first round of funding. The SBA approved funding supports nearly 130,000 employees of our clients across this great franchise.We offered this program to all existing eligible customers of Atlantic Union, not just borrowers, not just a select few. After the first round of funding ended, we left our application portal open, continuing to process existing applications and invited new clients to apply in preparation for Round 2 of funding which we're working on now. We revisited our charitable contribution strategy to support COVID-19 relief. Since March 16th, the leadership team has started and ended each day together on video conference, allowing better communication, real-time decision-making and team work than ever before, despite our working remotely. From the beginning, our priorities have been to make the right decisions to protect our teammates, customers and the bank.For our teammates, the pivot and working environment has been surprisingly effective. While we have the resilience plans in place and have conducted tabletop business continuity exercises, nothing could have prepared us for the reality of a pandemic. Some of the planning we found effective and used it and some went out the window. More important, we made decisions quickly in the face of uncertainty, found a way to do what needed to be done and continue to do so today. We've learned to work differently and our customers have learned the bank differently. For example, we've seen usage of our digital channels increased 46%. Our call center volume has doubled and the average call time is a little more than a minute longer than before. Wait time averages are hovering around 4 minutes to 5 minutes compared to about 1 minute before the crisis, yet call center customer satisfaction is above our historic highs based on our measurement.For most of our customers, the storm has arrived. We've batten down the hatches from a credit risk mitigation standpoint. We feel confident about weathering the storm. We don't have outsized exposure to the industry's most directly impacted by social distancing measures put in place such as hotels, restaurants and retail.Let me talk for a moment about the steps we've taken to solidify our credit position. We, of course, reached out immediately proactively to our business customers to assess the COVID-19 impact on them and implement payment modifications where necessary, verified collateral, reviewed in detail our loan books with a focus on the highest risk borrowers and industries. Since the start of the crisis until February, April 24, we've modified approximately 4,000 commercial loans with the total balance of $1.9 billion, which is approximately 15% of our total loan portfolio. The modifications run the range of options that are tailored for each borrower. The majority of them, about 75%, are payment deferrals with a total balance of $1.4 billion, which is about 11% of the loan portfolio.Our goal is to help as many of our clients at this time as possible. As the quarter ended, commercial line utilization remained steady at around 35%. Since quarter-end, we've seen line usage decreased slightly. We're not seeing any broad drawdowns. We are aware of the press regarding excessive line of credit drawdowns, but believe that to be mostly a large corporate phenomenon and that's not a major factor for us.Our exposures to the most and focused industries are limited, and are outlined on Slide 9 of our accompanying presentation. Our hotel portfolio comprises $650 million or 5% of our total loan portfolio and consists primarily of non-resort hotels flagged by brand name. They don't rely on conventions or conferences. The hotel portfolio's debt service coverage ratio and the loan to value is the best among all of our commercial real estate property types. Portfolio debt service coverage is 1.9 times and the media and loan to value is 60%, providing a good equity buffer to write out this shock and accommodate deferred payments.Our restaurant exposure is $226 million or less than 2% of total loans. It's granular, and it's 85% secured by real estate collateral. Our retail trade exposure is less than 4% of total loan exposure. About half of this is to local gas station with convenient store operators and auto dealers and 80% of the exposure secured by real estate collateral. Regarding senior living facilities, we finance independent living, assisted living and continuing care communities. These represent $280 million, about 2% of the loan portfolio. They're managed by good operators with established track records. Thankfully, so far, none have been a hotspot for the pandemic.Our healthcare segment is also granular and heavily secured by real estate. We have no meaningful exposure to aviation, cruise industries or energy. And as you may recall, our third-party consumer portfolio has been winding down for some time. Our perspective is that we are simultaneously managing three significant events. First, the COVID-19 pandemic. Second, the Paycheck Protection Program, which has been an enormous undertaking like nothing we've ever seen before. And third, the recognition that we must align the Company's expense base to the coming reality of a much lower for longer rate environment than expected. We will manage through the pandemic, which we consider a limited duration of that. But as it ends, we will have positioned ourselves for the lower for longer rate environment and the macro-economic reality afterwards.I told our teammates that the current normal is not the new normal, but we think the post-COVID-19 normal will be different still, and we have to prepare for that reality. We are realigning the expense structure to match the revised revenue expectations to maintain our goal of top tier financial performance. We'll have more to say about this is as our plans are finalized in the coming weeks. But rest assured, we remain focused on the long term and are continuing to deliver top tier financial performance. We remain committed to our previously discussed top tier financial metric targets beginning in 2021. Although it seems like ancient history by now, Rob will take you through the financial results for Q1 and I'll speak to key accomplishments during the quarter.As I mentioned before, we had good momentum heading into 2020 and started off the year with strong deposit growth with loan production tracking to our plan. Atlantic Union accomplished a lot in the first quarter, particularly in digital. To start, we rolled out our new online account opening platform, which was perfect timing, given what has just happened; implemented card control, so customers can turn off their debit card on their own; improved our chat and secure message functionality for customers; improved fraud detection for online bill pay and Zelle transfers; rolled out a start card to provide a temporary debit card at account opening; and identified a number of process improvements to make our Company more efficient and scalable. And we also launched in the commercial bank treasury management group, a healthcare lockbox service, which supports accounts receivable collection for the unique needs of healthcare organizations.In the second quarter, we plan to further improve our digital experience by rolling out an interactive chat function for online account opening, upgrading alerts to near real-time for a better customer experience and better fraud detection, and launching an appointment scheduler to allow customers to book appointments in the branch from our website and our mobile apps.Our financial metrics were heavily impacted by the elevated provision for credit losses due to the worsening economic outlook related to COVID-19. And Rob will walk you through all of those details. I will say that given the challenging current and expected operating environment for banks, our full-year outlook will ultimately depend on the duration of COVID-19 and consequently the length and depth of the recession in our markets, but our goal remains to achieve and maintain top tier financial performance regardless of the operating environment.We face great uncertainty at this point, but we do believe we are in a U-shaped recession and expect recovery before the year is out. The question remains as to how long we will be at the bottom of the U. At this time, we simply don't know. The economy in our footprint was steady heading into the crisis with unemployment in Virginia at 2.6% in February and ticking up to 3.3% in March. We continued to see higher unemployment claims as April progressed. The Virginia economy is fairly unique, that's about 20% of the economy is anchored by the federal government. The federal government spending in Virginia is mainly for agencies in the Department of Defense with only a small fraction going to income assistance programs, education and transportation.I have consistently said since I arrived that I believe problem asset levels at Atlantic Union and across the industry were below the long-term trend line. We are now experiencing an unexpected change in the macroeconomic environment that I mentioned could impact credit quality, and we're now in a systemic downturn. We expect to return to more normalized levels of credit losses after the impact of the pandemic works its way through the economy.Moving away from the quarterly results, we continue to believe that our three-year strategic plan will create a company with differentiated financial performance, but the path to finish the work of this plan is going to take longer than we had planned. I'll have more to say about the changing timeline and our progress against our strategic plan in future calls.Looking down the road in regards to other strategic opportunities, it should be clear from my comments that we are busy and focused on the near-term pandemic response and credit management. For now, we'll do what we need to do to fight another day. In chaos, lies opportunity. I believe we will emerge from the crisis stronger, better, more efficient than before. I believe we will demonstrate that we made the tough choice as we needed to make that we were nimble, we were resilient and innovative in response to a most unexpected operating environment. We'll manage through the crisis, while positioning for future opportunity and success.In summary, we're focused on weathering the storm, taking care of our teammates and customers and protecting this bank. We will realign our expense structure to match the lower for longer rate environment that lies ahead. We'll continue to work our strategic plan, but will shift our timelines to adjust for the new reality. I'm incredibly proud of our teammates and all they've done and their ability to rapidly adjust to a new way of working in the midst of all of this uncertainty. I'm grateful for their grid, their willingness and ability to deliver a great personal sacrifice, $1.4 billion of the Paycheck Protection Program funding for our clients, their employees and our communities during the first round of the program. And we are hard at work on Round 2 even as I speak.I remain confident what the future holds for us and the potential we have to deliver long-term sustainable financial performance for our customers, communities, teammates and shareholders. I'll conclude my remarks with a familiar refrain. Atlantic Union Bankshares is uniquely valuable, dense and compact in great markets with a story unlike any other in our region. Now more than ever before, I believe we have assembled the right scale, the right markets and the right team to deliver high performance even in uncertain macroeconomic environments.I'll now turn the call over to Rob to cover the financial results for the quarter. Rob?
Rob Gorman: Well, thank you, John, and good morning, everyone. Thanks for joining us today. I hope you, your families and friends are all safe and are staying healthy. Before I get into the details of Atlantic Union's financial results for the first quarter. I think it's important to reinforce John's comments on Atlantic Union's governing philosophy of soundness, profitability and growth in that order of priority. This core philosophy is serving us well as we manage the Company through the current COVID-19 pandemic crisis.We are currently facing an unprecedented crisis management event that requires us to be laser-focused on the safety, soundness and profitability of the Company. As we will discuss further, Atlantic Union enters it's time of uncertainty in a very strong financial position, as we deal with the impact of COVID-19 on the bank's financial results. We have a well fortified balance sheet, a strong capital base and ample amounts of liquidity, which will allow us to weather the current storm and come out even stronger once this crisis has passed.As a matter of sound enterprise risk management practice, we periodically conduct capital, credit and liquidity stress tests for scenarios such as the operating environment we now find ourselves in. Results from these stress tests give us confidence that throughout the crisis, the Company will remain well capitalized and has the necessary liquidity and access to multiple funding sources to meet the challenges of COVID-19. By effectively managing through this crisis, we will become a stronger company that is well positioned to take advantage of growth opportunities, as economic activity resumes aided by government support and stimulus.Now let's turn to the Company's financial results for the first quarter of 2020. GAAP net income for the first quarter was $7.1 million or $0.09 per share, which was down significantly from the prior quarter due to the $57 million increase in the provision for credit losses compared to the previous quarter. This increase was primarily due to projected credit weakness as a result of the deteriorating economic outlook related to the COVID-19 coronavirus pandemic, which requires the Company to materially increase its allowance for credit losses during the quarter. Non-GAAP pre-tax pre-provision operating earnings were $68.3 million or $0.86 per share. It was down slightly from the prior quarter, primarily due to seasonally higher personnel related costs.I will now discuss the impact of the Company's adoption of CECL on January 1st and the subsequent impact of the worsening economic forecast related to COVID-19, which resulted in the material increase in the allowance for credit losses and the quarterly provision for credit losses. Atlantic Union adopted the CECL accounting standard on January 1st. As you know, under CECL accounting, lifetime-expected credit losses are now estimated using macro-economic forecast assumptions and management judgments applicable to and through the expected life of the loan portfolios.At March 31st, 2020, the allowance for credit losses was $150 million or 1.17% of total loans, inclusive of allowance for loan and lease losses of $141 million and a reserve for unfunded loan commitments of $9 million. The allowance for credit losses increased $107 million from December 31st, of which $52 million was due to the adoption of CECL, the so-called CECL day one impact, and $55 million was driven by the deteriorating economic outlook related to COVID-19 subsequent to the adoption of CECL, the so-called CECL day two impact.The allowance for loan and lease losses increased $99 million from December 31st, due to CECL day one impact of $48 million and the CECL day two impact of $51 million. The allowance for loan and lease losses as a percentage of the total loan portfolio was 1.1% at March 31st, which was up from 34 basis points at December 31st. The ratio of the allowance for loan and lease losses to non-accrual loans was 320% at the end of the first quarter, compared to 150% at the end of the prior quarter.The reserve for unfunded loan commitments increased $8.1 million from the prior quarter, due to the CECL day one impact of $4.2 million and the CECL day two impact of $3.9 million. The $55.2 million CECL day two increase to the Company's allowance for credit losses took into consideration the COVID-19 pandemic impact on credit losses both through the two-year reasonable and supportable macroeconomic forecast utilized in Company's quantitative CECL model and through management's qualitative adjustments. Beyond the two-year reasonable and supportable forecast period, the CECL quantitative model estimates expected credit losses using a reversion to the mean of the Company's historical loss rates on a straight-line basis over two years.In estimating expected credit losses within its loan portfolio at quarter end, the Company utilized Moody's macro-economic forecast as of March 27th for the two-year reasonable supportable forecast period. The Moody's economic forecasts assume that, on a national level, GDP would declined by 18% in the second quarter and that the national unemployment rate would peak at approximately 9%. Moody's forecast for Virginia, which covers the majority of our footprint, assumed a peak unemployment rate in the state of about 6.5%, remaining at about 5% throughout the forecast period.In addition to the quantitative modeling, the Company also made qualitative adjustments for certain industries viewed as being highly impacted by COVID-19, included hotels, retail trade, restaurants and healthcare, as discussed by John earlier. The qualitative factors also consider the potential favorable impact on estimated credit losses of the massive U.S. government stimulus support funding, including the small business Paycheck Protection Program.As a result of the above expected credit loss modeling assumptions, as mentioned earlier, the first quarter's provision for credit losses was $60 million, and the allowance for credit losses increased by $55 million to $150 million or 1.17% of total loans, up from 34 basis points at the end of last year. For context, the 1.17% allowance level represents approximately 60% of Atlantic Union's peak two-year loss rates in the great recession and approximately 63% of the projected nine quarter losses in the Company's most recent internal stress testing scenarios.From a regulatory capital perspective, the Company is facing in the capital impact of adopting CECL over a five-year period as allowed under the interim final rules issued by the regulatory banking agencies in March. Under this rule, the Company has allowed to include the capital impact of the CECL transition, which is defined as a CECL day one impact to capital, plus 25% of the Company's provision for credit losses recorded during 2020 in regulatory capital through 2021. Beginning in 2022, the CECL transition capital amount will begin to be excluded from regulatory capital over a three-year phase-in period ending in 2024.For the first quarter of 2020, net charge-offs were $5 million or 16 basis points of total average loans on an annualized basis, as compared to $4.6 million or 15 basis points for the prior quarter and 15 basis points for first quarter last year. As in previous quarters, a significant amount of the net charge-offs, approximately 55%, came from non-relationship third-party consumer loans, which are in run-off mode.Now turning to the pre-tax pre-provision components of the income statement for the first quarter. Tax equivalent net interest income was $137.8 million, which was in line with the fourth quarter's net interest income level. Net accretion of purchase accounting adjustments for loans, time deposits and long-term debt added 24 basis points to the net interest margin in the first quarter, which was up from the fourth quarter's 18 basis point impact, primarily due to increased levels of loan-related accretion income.The first quarter's tax equivalent net interest margin was 3.56%, which is an increase of 1 basis points from the prior quarter. The 1 basis point increase in the tax equivalent net interest margin for the first quarter was principally due to the 6 basis point cost of funds decline, partially offset by a 5 basis point decline in the yield on earning assets. The 5 basis point decrease in the quarter-to-quarter earning asset yield was primarily driven by the net 7 basis point decline in the loan portfolio yield. The decline in the loan portfolio yield of 7 basis points to 4.83% was driven by lower average loan yields of 16 basis points, resulting from lower loan fees and the impact of declines in market interest rates during the quarter was notably the significant declines in the one-month LIBOR rate and prime rate. This impact was partially offset by the 9 basis points positive impact from higher loan accretion income.The quarterly 6 basis point decrease in the cost of funds to 94 basis points was driven by a 6 basis point decline in the cost of deposits to 86 basis points, as interest-bearing deposit costs declined 9 basis points from the fourth quarter to 110 basis points due to aggressive repricing of deposits during the quarter, as markets rate -- market rates declined. Also contributing to the first quarter's lower cost of funds was the 20 basis point decline in wholesale borrowing costs, driven by lower market rates.Non-interest income decreased by approximately $300,000 to $28.9 million in the first quarter from $29.2 million in the prior quarter. Mortgage banking income of $2 million was lower by $667,000, primarily due to net losses on derivative instruments more than offsetting the impact of higher loan origination volumes. Fiduciary and asset management fees of $6 million, declined $547,000 from the prior quarter, primarily due to the lower investment advisory fees resulting from the equity market driven decline in assets under management during the quarter.Service charges on deposit accounts declined $293,000, primarily due to lower overdraft fees, and interchange fees declined $229,000 from the prior quarter on lower transaction volumes. Increases in insurance-related revenue of $836,000 and loan-related interest rate swap income of $478,000, partially offset the overall decline in non-interest income.In addition, during the quarter, the Company recorded a $1.8 million loss to unwind an interest rate swap related to short-term Federal Home Loan Bank advances, which was offset by gains on security sales of $1.9 million. This net balance sheet restructuring transaction improved net interest income by approximately $2 million annually and adds 1 basis point to the net interest margin.Non-interest expense increased $1.3 million to $95.6 million in the first quarter from the prior quarter. As expected, salaries and benefits increased $2.9 million, primarily related to seasonal increases in payroll taxes, group insurance and annual merit adjustments. FDIC expense increased $1.6 million due to the FDIC small bank assessment credit received in the fourth quarter of 2019.Other expenses in the first quarter of 2020 included a $1 million expense in support of a community development initiative and approximately $380,000 of expenses incurred related to the Company's response to COVID-19. These increases were partially offset by declines in marketing and advertising expense of approximately $936,000, as well as lower OREO and credit expense of approximately $859,000, due to lower OREO valuation adjustments. Additionally, there were no merger-related or rebranding costs recognized in the first quarter of 2020 compared to $896,000 and $902,000, respectively, in the fourth quarter of 2019.Effective tax rate for the first quarter declined to 12.2% from 16.7% in the fourth quarter, primarily due to excess tax benefits related to share-based compensation recorded in the first quarter. For the full year, we expect the effective tax rate to be in the 16.5% to 17% range.Now turning to the balance sheet. Period-end total assets stood at $17.8 billion, an increase of $284 million from December 31st. At quarter-end, total loans held for investment were $12.8 billion, an increase of $158 million or approximately 5% annualized, while average loans increased $266 million or 8.7% annualized from the prior quarter.Overall, loan growth was driven by commercial loan balance increases of 8.3% on an annualized basis, led by strong growth across multiple commercial categories. Consumer loans declined approximately 10% annualized in the quarter, driven by mortgage and third-party consumer balance run-off, partially offset by growth in indirect auto balances of 8.7%. At March 31st, total deposits stood at $13.6 billion, an increase of $250 million or approximately 7.5% from the prior quarter. The first quarter's deposit growth was driven by material increases in transaction account balances, partially offset by declines in money market deposit balances.Low-cost transaction accounts now comprise 46% of total deposit balances at the end of the first quarter, which is up from 44% at December 31st. The loans to deposit ratio was approximately 94% at quarter end, which is in line with the Company's 95% target level. As noted earlier, we feel good about our current liquidity with multiple sources that can be tapped, if needed. Although to date, we haven't seen any unusual client behavior that would require us to draw on these resources. We expect to fund the approximately $1.4 billion in counting Paycheck Protection Program loans approved by the SBA, using the Federal Reserve's liquidity facility that had been set up for this purpose.From a capital perspective, the Company is well positioned to withstand the COVID-19 pandemic and its impact on the bank's financial results. At the end of the first quarter, Atlantic Union Bankshares and Atlantic Union Bank's regulatory capital ratios were well above regulatory well capitalized levels. From a shareholder stewardship and capital management perspective, we are committed to managing our capital resources prudently, as the deployment of capital for the enhancement of long-term shareholder value remains one of our highest priorities.As such, during the first quarter of 2020, the Company paid a dividend of $0.25 per common share, repurchased approximately 1.5 million shares at an average price of $33.37 per share, and suspended its share repurchase program with approximately $20 million remaining under its $150 million share repurchase authorization. Overall, the Company repurchased approximately 3.7 million shares at an average price of $35.48 per share since August of 2019. Regarding the dividend, the Company has no intention of cutting it at this time, but management and the Board of Directors will continue to monitor the business environment and will be prudent in managing capital levels going forward.So to summarize, Atlantic Union delivered solid pre-tax pre-provision financial results in the first quarter, despite the onset and unprecedented business disruption associated with the COVID-19 pandemic and the headwinds of a lower interest rate environment. As John noted, the Company is taking significant and immediate actions to reduce its expense run rate to align with the lower-for-longer interest rate environment, as we strive to meet top tier financial performance regardless of the operating environment.Finally, please note that while we are proactively managing through this unique and unpredictable pandemic crisis and are taking the proper steps to weather the economic downturn to ensure the safety, soundness and profitability of the Company, we also remain focused on leveraging the Atlantic Union franchise to generate sustainable profitable growth and remain committed to building long-term value for our shareholders.And with that, I'll turn it back over to Bill to open it up for questions.
Bill Cimino: Thank you, Rob. And Towanda, we're ready for our first caller, please.
Operator: [Operator Instructions] Our first question comes from the line of Eugene Koysman with Barclays. Your line is open.
John Asbury: Good morning, Eugene.
Eugene Koysman: Good morning, and thank you for taking my questions. In terms of the credit, we appreciate the detail you provided on the loan segments impacted by COVID-19. But can you give us a bit more color on what percentage of clients in these impact of categories, such as retail, restaurants, hotels have asked for a payment forbearance? And also what are your specific loss expectations in these loss categories?
John Asbury: Eugene, I'll start. In terms of your question on what percentage of the impacted portfolios are under payment deferral, if you refer to Page 9 of our accompanying slide presentation, you'll see that on the far right hand side modifications. So retail trade is 30%, restaurant 52%, senior living 5%, hotels 67% and healthcare 34%. In terms of what our expected losses are on this, we have no idea.Rob, do you have any better answer than that?
Rob Gorman: Well, Eugene, as I mentioned in our prepared remarks, we have provided qualitative adjustments to those impacted portfolios and have increased those reserves against those particular portfolios significantly up to 3 times, 4 times what the model would have told us -- our historical loss model would tell us. So we do have a material reserve against those debt portfolio at this point in time.
John Asbury: And Eugene, I would add I should clarify that. If you look at it, we feel good about the nature of these businesses. Things like restaurant and retail, you would expect to have some of the most challenging problems as this works through. Having said that, this is mostly real estate secured exposure. It is virtually all on our local markets, people that we know, guarantor support, etc. So while we will have impacts on it, we feel very good about the provision that we've made. We feel good about the nature of the exposure, and we think it will be manageable. But quite candidly, ultimately, what the loss rates are going to be -- clearly be driven by the duration of the COVID-19 pandemic, how long the recession runs, etc. But we feel quite confident, and the overall creditworthiness of the portfolio and our ability to take some hits out of this loss sensitive portfolio as well.
Eugene Koysman: Thank you. Really appreciate the detail. And I just wanted to ask a question maybe on the revenue side. What are your puts and takes for net interest margin and net interest income going into the second quarter in terms of impact from the rate-driven balance sheet repricing, maybe accelerating the accretion and impact of PPP loan funding?
Rob Gorman: Yes, Eugene. I'll take that one. Yes, in terms of our expectations for the second quarter from a net interest margin perspective, we do expect that that's going to come in lower than what we reported in the first quarter. One of the drivers of that would be, we expect lower accretion income as you saw. About 24 basis points of our reported margin related to accretion income, which was up about 6 basis points from the prior quarter. We do expect that to come down. We do have a schedule within our earnings release that shows how we think accretion income will flow in over the next several quarters and even into the out years.Now I would caveat that a bit. That's based on contractual payment schedules. And as we saw this quarter, you could see an acceleration of that -- recognition of that accretion income if there are pay downs related to that -- those books of business. In terms of the overall core margin, we're also expecting that to compress based on the lower-for-longer rate environment, as we mentioned, but the recent market rate declines with the Fed cutting down to zero, prime rate has come down; with that LIBOR has also come down; and market rates quarter-to-quarter has continued to come down in this -- in the current quarter. So we are expecting that the margin based on that will probably stabilize in -- over time in the 3.15% to 3.20% range.We also -- just to give you some flavor on that. About 27% of our book -- loan book is priced off of one-month LIBOR and another 13% is prime -- priced off prime index. We do have about 11% of the portfolio at floors. So it's not quite as -- the 40% is actually lower. So we are sensitive to lower rates both prime and one-month LIBOR, and those have come down quite a bit. So again looking forward, we expect our core margin of about 3.32% probably will come in over the next few quarters. This is not including any impact from the PPP program, probably in the 3.15% to 3.20% range over the next several quarters.
Eugene Koysman: Thank you.
John Asbury: Great.
Bill Cimino: Thank you, Eugene. And Towanda, we're ready for our next caller, please.
Operator: Thank you. Our next question comes from the line of William Wallace with Raymond James. Your line is open.
John Asbury: Good morning, Wally.
William Wallace: Good morning. Hope you guys are well. I have a few questions. I think the primary one I have is -- I'm just a little bit confused on CECL, and I apologize if this is in the release. I just didn't see it if it was. But last quarter, there was roughly $50 million in remaining mark on purchase loans. What happened to that?
Rob Gorman: That's still part -- in terms of the CECL day one adoption, the reserve related to purchase credit impaired note -- purchased credit deteriorated loans was moved over into the allowance for loan loss. That was relatively small amount of the total purchase mark. I want to say less than $5 million or $6 million. Got moved over related to the PCI, PCB portfolio. The remainder is what you see accreting through income that's on the page in the earnings release. That is not going to move directly over from the credit mark perspective, also liquidity marks in there. That's the so-called double-count, Wally, that we talked about. So we have the accretion -- the purchase mark still out there in accreting into income. At the same time, we have to provide a reserve for non-purchased credit deteriorated loans, the so-called good book or acquired book.
William Wallace: So do you give the total balance of the remaining marked to add up all of those years of accretion? Is that...
Rob Gorman: Yes, that accretion -- that will come through over a period of time. Again, we've estimated that in the earnings release. But again, it really depends on how quickly that comes back to us which will over time. But it could be accelerated depending on if there is pay-offs, etc., which we saw in the first quarter, which is why we had a outsized accretion income number.
John Asbury: Okay. So, theoretically, that -- there is no credit expectation in that number. It's all interest rate now.
Rob Gorman: Pretty well. Yes, basically we're treating the credit we actually did on the day one adoption -- about half of the increase in a day one CECL increase in the allowance for credit losses related to the good book acquired portfolio, the double-count.
William Wallace: Yes. Okay. Alright. So -- OK. So -- yes, so it's like bond accounting now where -- obviously, it accelerates with the loan pace, but there is no credit loss impacting that number. Okay. Alright, that's helpful. On the PPP Part 2, John, you mentioned that you guys are actively applying and funding -- applying for funding, I guess. I don't know if you're actually funding them yet. But can you kind of give us a sense of maybe the pipeline of Part 2, and if you have an idea of what the average fees might look like on those?
John Asbury: Yes, sure, Wally. I'm going to ask Atlantic Union Bank President, Maria Tedesco, to chime in, because she will have the most current information available. Please bear in mind, we're working virtually here. So we're not seeing each other. Wally, what what I would say, as Maria comes on, it's that -- as a reminder, we left the application portal open when funding expired Thursday a week ago or whatever it was. We invited new customers in at that point in time, but I can tell you that when the SBA opened for business, yesterday, we had 3,000 applications ready to drop in.Maria, can you take it from here, please in terms of -- I think we had 400 new applications, yesterday. Tell us where we are on this, please.
Maria Tedesco: Yes, absolutely. Again, we had 3,000 going into yesterday. We did manage to get 900 approved yesterday for an average loan amount about $100,000. We're hoping to continue that effort today, and for the next couple of days until we get through the 300-plus. We're continuing to get new applications at a clip of about -- a little over 400, yesterday. So it's an incredible effort.
John Asbury: And Maria, my recollection is that, of the 3,000 completely vetted and internally approved applications ready to drop into the SBA E-Tran system, I think that was some total of, something like $300 million. Does that sound about right in terms of some of borrowings?
Maria Tedesco: Yes.
William Wallace: Okay. And then, any idea -- you gave the average size of what it was approved, but it's hard to get the average fees because of the -- some of the big [multiple speakers] and there is a 1%. Do you have an idea of that $300 million, what the average fee was sitting in the pipeline?
John Asbury: Rob, I'm thinking that...
Rob Gorman: Yes, that's going to be -- the average is going to be less than the $350 million. So think about a 5% fee [indiscernible].
John Asbury: Most of those should be -- I don't know if there any individually large ones. So I would agree most of those would be the 5% range. So Wally, with this ultimately does will be a function of how long this money remaining available, and quite candidly, the speed with which we can get the approvals through the SBA system. Theoretically, we believe we could get 3,000 applications through in about six hours. The problem is because of all the glitchiness of it that was so well reported yesterday.Having said that, to Maria's point, I can tell you when I woke up this morning, the last update I saw, said we had approved something like a 1,024. And as Maria indicated, we were up late last night. We got well over 900 yesterday, which is very good. So I would expect that, if we did a $1.4 billion, which we did in SBA approvals [indiscernible], we know we had $300 million yesterday ready to drop in plus -- we're probably going to settle in at somewhere between conservatively, I bet you were approaching at least a $1.8, maybe north of that depending upon how long the funding remains available.
Maria Tedesco: Yes, that's right, John. That's about what's in our pipeline. And our process is very smooth and very efficient, but it's really quite frankly dependent upon E-Tran and its ability to allow us to process in the manner that we would like, which is at a much faster pace.
John Asbury: And Wally, I can't help and point now. As a reminder, Atlantic Union Bank was 15% of all-round one PPP approvals in Virginia by count and by dollar. If we calculate our depository market share at about 7%. So we think we punched 2x above our weight. I am so proud of this team. That's a $1.4. 90% of that $1.4 billion went into Virginia. That's good for our economy. It's good for our clients. It's good for everybody.
William Wallace: Yes. I agree. Thank you. What was the dollar amount of the hedge loss in the first quarter mortgage?
Rob Gorman: Rounding, it was about $1 million, Wally.
William Wallace: Okay. And then I'll just one last small question, [indiscernible]. In the wealth business, due to the nature of the kind of timing of fees, would we kind of be starting at a down 10% to 15% level in the second quarter?
Rob Gorman: Yes. You're right. We are looking that the revenue stream is going to be down -- yes, again in the second quarter as you saw. Of course, really it does depend on where the market -- what happens to the market. Yes, we are anticipating that fees will be down in probably about the $1 million or so range on a quarterly basis.
William Wallace: Okay.
John Asbury: Great. Thanks, Wally.
William Wallace: I'll let somebody else ask. I appreciate it.
Rob Gorman: Thanks, Wally.
Bill Cimino: Towanda, we're ready for next caller, please.
Operator: Our next question comes from the line of Laurie Hunsicker with Compass Point. Your line is open.
John Asbury: Good morning, Laurie.
Laurie Hunsicker: Hi, good morning. And I just wanted to go back to margin for a moment. I just wanted to make sure that I heard all these comments together in the right way. So, again, to your point of core margin guide of 3.15% to 3.20%, and it looks like 15 basis points or so just comes out of accretion income just going March to the June schedule, and I love the detail you presented on that. So we're thinking about, probably, an all-in reported margin that's going to be tracking somewhere may be 3.27%, 3.28%, 3.29% on a reported basis relative your 3.56% that you reported this quarter. Am I thinking about that the right way?
Rob Gorman: That's right, Laurie. I would say, yes, that kind of add about 10 basis points to 12 basis points from accretion income.
Laurie Hunsicker: Okay. That's helpful. Okay. I love all the detail you provided. So thank you for that. I just wondered if we could go back to Slide 9, just a couple of things I want to touch on. First, what is your leverage lending exposure? And then second, how much of Slide 9 -- how much of that $2.2 billion is leverage lending?
John Asbury: I'm going to ask, Doug Woolley or Dave Ring to verify this. I would say it's gone near zero. So what I think about -- when I think about leverage lending in these categories, I would mostly be thinking about franchise restaurant finance. I'm very familiar with that business. I was involved with this previously. We don't do that. So we are not doing large scale franchise operators, syndicated restaurant, these are all local business people. Something of these are franchises, but you're talking about a handful of them.And Doug, do you and or David Ring have anything you would add to that, any leverage lending Exposure in this category on Slide 9?
Douglas Woolley: Yes. Laurie, this is Doug. Good morning. There is a no leverage lending exposure in this category. We have a little over $300 million, and that is not in -- it's not in these categories.
Laurie Hunsicker: Got it. Okay, that's helpful. Okay. And then, just keeping on Slide 9. In terms of hotels, you had mentioned that of the $650 million, it was done at a 60% LTV, which is helpful. But of your $651 million, how much of that is C&I versus CRE? And what percentage of that is real estate, or is that all real estate?
John Asbury: That should be all real estate you're looking at. Doug Woolley, do you want to comment on that?
Douglas Woolley: Yes. It's all loans to the hotels themselves with the limited service flag that John described.
Laurie Hunsicker: Great. And do you have any hotel C&I exposure?
Douglas Woolley: We have -- there is a few dollars in that, that would be not secured by real estate. But everything we have -- everything else we have to a hotel and every hotel is secured by real estate. Is that your question, Laurie?
Laurie Hunsicker: Yes. That answers it. That's helpful, very helpful, and thanks. And then, just to confirm, I'm pretty sure the answer is no, but just to confirm, you have no oil exposure, correct?
John Asbury: I'm sorry, did you say oil?
Laurie Hunsicker: Yes. Just to confirm do you have no oil exposure, is that correct?
John Asbury: Zero. Anything you would see quoted as energy would be a natural gas like local distribution gas company, etc. Zero for oil. Zero for coal.
Laurie Hunsicker: Perfect. Okay. And then, Rob, can you just update us on the third-party consumer loan book, just where those balances stand?
Rob Gorman: Sure. Yes. So, we brought the -- total third-party is probably in the $215 million to $220 million range [ph]. Lending club was, as you know, approximately $120 million at the end of the year. It's down to under $100 million. Now, it's about $98 million of that total, but that's been running off pretty significantly.
Laurie Hunsicker: Okay. That's great. And then, categories that I'm we less worried about that I just wanted to get an update, if you have them. If not, I'll follow up with you afterwards. But residential and home equity, do you have what your LTV is and your FICO is for both of those books? And if not, I can follow up with your separately.
Rob Gorman: Yes. I don't have that in front of us here, Laurie. So, we could follow-up on that.
John Asbury: Everything we do would be prime, of course, but we'll have to get the details on that for you.
Laurie Hunsicker: Okay, perfect. I will catch up with you later. I'll leave it there. Thanks so much.
Rob Gorman: Thanks, Laurie.
John Asbury: Thanks, Laurie. Towanda, we're ready for our next caller, please.
Operator: Our next question comes from the line of Stuart Lotz with KBW. Your line is open.
John Asbury: Hi, Stuart. Good morning.
Rob Gorman: Good morning.
Stuart Lotz: Hi, guys. Appreciate all the color on the margin. Maybe circling back to your non-interest expense. Rob, I don't think you guys gave any specific guidance, but you mentioned that you were looking at peeling back given the revenue headwinds. Just curious how you're thinking about a run rate from this quarter's $95.5 million and how you guys are kind of thinking about expense cuts this year?
Rob Gorman: Yes. Thanks, Stuart. Yes. So, it's all -- as we came into the year, we were projecting that we would take fourth quarter run rate, which is around -- was around I guess, above $94 million and add 4% to that for the full year. Basically, that 4% is being taken out as we speak through management expense reduction actions. The way to look at that is the run rate is going to drop from the first quarter, probably in the $2 million to $3 million range in the second quarter, come down a bit more in the third quarter, and then another $2 million in the fourth quarter. So, I think we're going to end the year based on the details of the expense management actions we're taking to be in -- around the $89 million to $90 million range coming out of the fourth quarter. So, material adjustment to what we had originally expected to spend this year.
Stuart Lotz: And in terms of geography, is a lot of that coming out of kind of discretionary spending like marketing, or is it -- are you looking at your branch network, any kind of optimization there? I'm just trying to kind of...
Rob Gorman: Yes. It's pretty much across the board. We're looking at everything. Actually, we have looked at everything. We've approved everything, and we're executing on it now. But all those items that you just mentioned and in the buckets, let's call it salary and benefits and then other discretionary items, travel, marketing, vendor. We're looking at all vendor management outside consulting costs etc. So, it will be across the board.
Stuart Lotz: Got it. And I guess maybe just one more from me. On the credit side and kind of looking at additional provisioning next quarter, I really appreciate the breakout, 60% of the allowance currently as compared to last cycle total losses. Just kind of curious how you guys are thinking about provisioning going into 2Q, given we've seen further economic deterioration, kind of, how are you guys in putting that in your model? And could we expect maybe not a $60 million provision, but something kind of along the line of the increase this quarter?
Rob Gorman: Yes. In terms of that, we -- as you noted, we have seen the economic forecasts worsening, which on its face, if we were to end the second quarter today, we would be looking at probably provisioning some elevated level compared to prior quarters. We don't expect that -- we've kind of run some of the numbers. We don't expect it would be near the first quarter provisioning we have to do, although we would see additional reserve build. Now, we don't know that. Things can change. We'll see where we are, as we go through the quarter and where we end up and what the outlook looks like coming out of the second quarter. But again, to your point, likely, we would add to our reserves a bit, if we were to close the books today and let them all win.
John Asbury: Yes. Ironically, the -- we aren't really pointing toward the origination fee income off of PPP, but I have to say that it is not lost on us that effectively could pre-fund, so to speak, any incremental reserves that could be necessary. That's a beneficial in so many respects. It's a bridge for clients and businesses and obviously there is some income associated with it too.
Rob Gorman: Yes. That's true, John. And in terms of when we talked about the margin and net interest income, my comments excluded anything related to PPP in terms of the net revenue stream, which we hope will be booked through net interest income, which will affect both the dollars and the net interest margin itself.
Stuart Lotz: Awesome. And John, maybe one more from me. Virginia, the stay-at-home orders kind of through I think early June, which is a little bit more conservative, what we've seen in other states. I'm just curious if you're hearing anything else there with regards to some of your local markets and how consumer behavior is kind of thinking about that or if you know the governor ultimately decides to lift that sooner than June 10th. Just curious any commentary.
John Asbury: The fact that the Governor of Virginia happens to be a physician is probably related to our relatively conservative approach. Everything has been pretty manageable so far. Interestingly, the headline this morning as I looked at the Richmond Times-Dispatch is the governor is at least showing a receptivity now to thinking about a regional reopening of Virginia. That's something that was off the table as recently as a few days ago. And so, it would not surprise me if in certain of the markets we've had relatively little incidence of this, we began to see them reopen sooner. But I think bottom line, they'll take a thoughtful approach. We are in a different place from certain other states who have been more liberal. And quite candidly, I think that the governor is doing the right thing. So, I think that will be at the relatively conservative end, but I got an email from my dentist yesterday telling me they're reopening early May. The way this works technically, certain businesses are going to begin to open in early May and we'll see. So, I expect it will be phased back in.
Stuart Lotz: Great.
John Asbury: Thanks, Stuart. And Towanda, we're ready. We think we have time for one more caller, please.
Operator: Our next question comes from the line of Brody Preston from Stephens. Your line is open.
John Asbury: Hi, Brody.
Brody Preston: Hi, good morning, everyone. Just wanted -- Rob, just maybe ask a more pointed question on the provision. So another regional bank this morning granted in a different geography, said the difference between using Moody's March forecast and the April forecast resulted in a 35% increase in their provision. So, I guess if we sort of looked at that difference, is that similar to the numbers that you've run for 2Q so far?
Rob Gorman: To be 35% of the Q1 numbers?
Brody Preston: Yes.
Rob Gorman: Yes. That's -- you have to put a fine point on it, but that's not out of question.
Brody Preston: Okay. And I just wanted to -- yes, I know we talked about the margin at nauseam, but I just wanted to circle back. 11% of the loans have floors for the deck. Is that the amount that is at floors or what's the percentage that is already at floors?
Rob Gorman: That's about 8% of that 11%.
Brody Preston: Okay. And the borrowings, could you remind me the flipper advances that you have, the majority will flip in 2Q, right? And could you let us know what the difference between the funding costs in the most recent quarter for those for super advances was and versus what they will be when they flip?
Rob Gorman: Yes, that's a good question. Brody, I have to look at that, again. Let me get back to you. I can't remember exactly what that number is, but maybe, on our call after this, we can talk about that. I'll get the info.
Brody Preston: Okay, great. On the PPP for loans, it looks like just based on what you did so far, it looks like the mix spits out about a 3% fee. Is that in the ballpark?
Rob Gorman: Yes, that is.
Brody Preston: Okay, great. And then, you obviously had an outsized impact relative to your deposit market share across your footprint. Just wanted to better understand the breakdown. I think John, you mentioned that you had some to existing borrowers, some to new borrowers. I just wanted to better understand the breakdown there. What was the existing borrowers versus new?
John Asbury: Brody, I'll ask Maria Tedesco to comment on this. I will say that our position on the first round of funding, as we were focused on the existing client base, we knew we were going to be overwhelmed. That was obvious. And so, we were very much focused on serving the existing client base first. Having said that, we had a long line at our door of our prospective relationships, trying to come in. And so, as we gained confidence later in the process of Round 1, we've begun to change our thinking, and then we immediately opened up for Round 2 to accept new customers. Maria, do you have any current stats in terms of what percentage do we think based on what we're seeing really more -- it's more of a Round 2 issue -- our new customers?
Maria Tedesco: Yes, that's right, the Round 2. But if you look in total of all applications, obviously, the new customers coming on in the second round. We are very close to 17.5% new customers.
John Asbury: And I think that what's happening is we've been fortunate to receive good press based on the good results we had in Round 1. So, we've -- it's been frankly -- we never view this as a business development opportunity, but it's at our doorstep. So, we have absolutely been able to welcome new relationships into the bank now.
Brody Preston: All right. Great. And then, just a couple more quick ones for me. The healthcare portion of the book, is that mostly dentists and small practitioners?
John Asbury: Yes. It's going to be exactly what you think of smaller medical practices, lots of dentists, that sort of thing.
Brody Preston: Okay. And then, obviously you mentioned, John, that you're continuing to invest in digital, which just given the current state of things as become more and more important. So, do you have any, I guess, maybe data around mobile adoption and usage since social distancing began?
John Asbury: Yes. Kelly Dakin who's Head of Digital and Customer Experience is on the line. Kelly, are you able to comment? I think we stated that we've seen a 46% increase in digital usage. By the way, I want to complement, the digital team under Kelly Dakin, our technology teams under Chief Information Officer and Head of Bank Operations, Dean Brown, they are among the many heroes of the whole PPP. We could not have done what we just did a year ago. And so, Kelly, could you comment on what's going on with digital adoption?
Kelly Dakin: Sure, absolutely. So of our current customer base, we saw a 46% jump and customers activating online and mobile. So that was an increase of customers who had already involved, but may not have -- become active. For the non-online active customers, these are the newer enrollments. We saw a 25% increase in enrollments. We are seeing quite an uptick in usage. Mobile deposit, obviously, is seeing the biggest uptick based on the fact that customers aren't going into the branches, so we are seeing an overall uptick there as well as our digital sales channels have seen quite a large increase in the non-digital -- new to bank digital sales.
Brody Preston: Okay, great. Thank you very much for that Kelly. And then, I guess maybe one last one on the expense base. Obviously, the branch transformation, just given most branches are sort of effectively closed right now. I'm assuming that just given the new revenue environment, as maybe -- some of that going to slow down even if were opened up in the back half of the year. How should we think about the investment in the branches?
John Asbury: Well, I think that it is very clear to us that we have learned to work differently, customers have learned to bank differently. And it is causing us to rethink some of the traditional notions of the role of the branch. We are still committed to the principal branch presence. But I think what you're going to see is we'll be more aggressive in terms of rationalization of the branch network, mainly because we're seeing our customers begin to bank differently. So, we're not yet -- Shawn O'Brien, Head of Consumers is on. Shawn, if you have anything you want to add, but we are definitely studying some of these changes in consumer behavior with an eye toward ways to better rationalize the branch network. Anything you would like to add to that comment?
Shawn O'Brien: No, I would just -- I would remind that, yes the branches lobbies are largely closed, but because we have drive through to nearly all our branches, they are very busy. So, the branches are open and functioning, and we're fortunate to have all those drive throughs. And then to John's point, we are looking at rationalizing the branches, given some of these changes. And I think we'll announce that here in the near future.
Brody Preston: All right, great. Thank you, Shawn. Thank you everyone for taking my questions. I appreciate it.
John Asbury: Thanks, Brody.
Rob Gorman: Thanks, Brody.
Bill Cimino: And thanks for everyone for dialing in today. We hope you stay safe and be well.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may now disconnect. Everyone have a wonderful day.